Operator: Greetings, and welcome to the Professional Diversity Network's Third Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. I would like to remind listeners that during the call certain information presented contains forward-looking statements. These statements are based on Management's current expectations and are subject to risks, uncertainties and assumptions, potential risks and uncertainties that could cause the Company's business and financial results to differ materially from these forward-looking statements are described in the Company's periodic reports filed with the SEC from time-to-time. All information discussed on this call is as of today, November 16, 2015, and Professional Diversity Network does not intend and undertakes no duty to update future events or circumstances. It is now my pleasure to introduce your host, Jim Kirsch, CEO. Thank you, Mr. Kirsch. You may begin.
Jim Kirsch: Thank you. Good afternoon and thank you for joining us. This is Jim Kirsch, Chairman and Chief Executive Officer of Professional Diversity Network. With me today are Star Jones, our President, David Mecklenburger, our Chief Financial Officer, Chris Wesser, our General Counsel, Kim Brown, our Communications Director and Jorge Perez, our Executive Vice President. I am going to begin this call by talking about hitting our stride, especially with regard to what we have accomplished in the month of September. Star will talk a bit about the business and David Mecklenburger will review some financial details. In the month of September, we took a big step forward by achieving our previously stated cost savings goals. It was our best single month from an unaudited EBITDA perspective since we came public in March 2013. We were nearly breakeven on an adjusted EBITDA basis for all of our business units. We have eliminated certain expenses related to marketing in personnel to achieve near-EBITDA breakeven, with gross profit margins of 84%. Our strategic plan is to be positioned to achieve profitability and begin a growth cycle. All three of our products sectors are now at or near adjusted EBITDA breakeven. In doing this, we hit a major milestone and our plan to cross over into profitability is within sight. We trimmed the fat and adjusted the course to position the Company for highly profitable long-term growth. Our plan for the combined businesses of NAPW, PDN and Noble Voice is to create synergies. These synergies will be achieved on both, the cost and revenue sides of the combined businesses. At first, we thought that we could cut $3 million to $4 million out of the combined annual expenses of our business units and reach profitability in early 2016. As it turned out that we have actually cut about $6 million on an annualized run rate basis and we expect to cut another $1 million of annual expenses as we continue to consolidate offices. We were also very close to breakeven on an adjusted EBITDA basis in the month of September, so it is fair to say that we are a bit ahead of our internal plan. On the revenue side, as stated in our last call, we have chosen to back off on lower margin business operations. The Company's emphasis is efficiency in sales over sheer numbers. In the short-term, we are fine-tuning a revenue model. Rather than hiring more and more sales people to chase leads, we are providing existing sales people with more and better leads, adjusting incentive structures, enhancing sales training and increasing sales supervision. We have historically used one primary lead source and now we are using four different sources. In addition, our cloud-based CRM system is up and running and it is also a valuable knowledge tool for our salespeople. Our approach is built around efficiency and translates directly into high-margin business as existing reps tackle more new opportunities. Furthermore, more leads from additional sources and better equipped salespeople should accelerate our revenue growth in future quarters. In the third quarter, the Company took specific actions to reduce costs, which led us to forgo some low-margin revenue opportunities. We did this in support of our overarching objective to establish predictable profitability with high gross profit margins. Now, we are positioned to access what we believe to be a very large addressable market for premium memberships and diversity recruitment services. Our new customer relationship management system was designed to support our business as we ramp up operations. It provides us with real-time data that measures the quality of our marketing expenditures. It also gives us the capability to professionally manage the productivity of our sales representatives by source, by time period and by utilization of leads by cost. Additionally, our CRM system is cloud-based technology, which empowers our team members to work from any location. In fact, we have tested a work from home model that looks promising and gives us the flexibility to attract and retain top talent, without the need to add significant overhead. We have also reengineered our marketing expenditure. In the third quarter, we began testing in an agile method new lead sources. We have eliminated certain methods and channels and we have added some new methods and channels. We now have the capability to segment our marketing efforts by audience and target strategically. In addition, we can measure effectiveness, which leads back to productivity and accountability. Marketing expenses are now fully measurable down to the individual sales representative level by day, by time and lead source. Our new campaigns are designed to drive high return on investment out of our marketing spend. Rather than hiring more and more salespeople to chase leads, we are providing existing salespeople with more and better leads and letting efficiency rise naturally. Our approach is built around efficiency and translates directly into high-margin business as existing reps tackle more new opportunities. Furthermore, more leads from additional sources and better equipped salespeople should accelerate our revenue growth in future quarters. Our goal is to build the business that is extremely profitable and tooled for tremendous growth. We want to build a cookie-cutter model out of NAPW to replicate other diverse groups. In order to do this, we have to get the efficiency right and that is exactly what we are doing right now. Based upon the successful implementation of our business processes in the past quarter, we decided that we can further consolidate some unnecessary office space to save another $1 million annually. With that, our planned expense reductions will be complete and our future growth should drive maximum profitability. Growth in our business will come from the value that we can deliver. Delivering value to members is job one. In our business, we can create value in a number of ways. One of the most important ways that we create value is by association. There is a psychological benefit to belonging to a group with whom a person identifies. This association can lead to personal and professional connections. We create the potential for peer-to-peer support, business introductions, career opportunities and much more. Speaking of career opportunities, I would like to tell you a little bit about what we are doing with Xerox. It turns out Xerox has adopted the Wilson Rule. If you are not familiar with it, the Wilson Rule is a Xerox Corporation policy that requires managers to include women and people of diverse backgrounds in the candidate pool for job opportunities. Obviously, our NAPW-PDN groups fit right into the Xerox plan and that is why we are working with them. However, it is important to realize that companies like Xerox are quickly becoming the rule, not the exception. As such, if we help place an NAPW member at Xerox or any other corporate client, not only do we make money, but the value of our membership goes up. We are taking an interest in the success of our members and that is real value. Value comes in the form of engagement, content can take us so far, networking events can take us further, but we also have the means to generate business for our members. As we move into 2016, we are expanding our community and delivering value. We are focused on engagement, which ultimately leads to growth and strong profitability. On that note, I would like to turn the call over to our President, Star Jones, to discuss what is going on in our business and our community. Star?
Star Jones: Thank you, Jim. Good afternoon. This is Star Jones, President of Professional Diversity Network. At this time, I would like to talk a little bit about each of our business groups and how we are creating value for our members, clients and shareholders. First I am going to talk about NAPW. NAPW is our largest business unit with 850,000 members. Jim touched on engagement as a key to delivering value and I would like to comment further on that point. We have given a lot of thought to how to engage and this led to the launch of our first e-chapter, a virtual online networking chapter in the third quarter. The e-chapter brings a new dimension to networking. It is a live online event. It is interactive and it does not take a lot of time. In just one hour, our e-chapter also allows member to a geographically separated to make a connection that might not otherwise be able to make. When we launched the e-chapter, we knew it was a good idea, but we did not know what to expect. It turned out that the e-chapter was very well received so much so that we now have over 7,000 opt-in members and we will be rolling out the new regional and professionally-oriented e-chapter groups in 2016. The online e-chapter may ultimately cross over with our local chapters. Our members have always had the opportunity to participate locally through live, in-person events. Now, they can also join electronic chapters that are specific to members' interest and profession. With members from different local chapters being connected in a new way, we now have the opportunity to connect our over 200 local chapters to one another through common members and ultimately expand value of a networking opportunity. Since we do have over 200 local chapters in the U.S. alone, the networking potential that can be brought together through online professional e-chapters is immense. Now our local events have the potential reach a national audience. Speaking of reaching a broader audience, our PDN group grew its user base significantly in the third quarter. Today, we count $6.8 million members. This group increased its membership by approximately 19% from the second quarter. These members are comprised primarily of jobseekers, but our approach for us is to building of community among like-minded minority groups. It also provides a social networking platform that is friendly to the variety of groups that we serve. While this service is primarily offered for free, we will be testing a premium subscription service in 2016. One of the major benefits of the PDN group is that it connects diverse jobseekers to employers who desire and promote a diverse culture. These employers are also connected to the NAPW members and resources in many cases, opening up the largest [ph] audience to prospective employers. Often this connection works in favor of employers who benefit from having a good reputation and are also able to meet federal diversity requirements for companies that do government work. In order to facilitate this connection, we opened up our Hire Advantage technology to direct employers and staffing companies in the third quarter. In 2016, we will expand the rollout to include recruiters. Our PDN business connects companies to people and people to people just like our NAPW business. What makes us different from most other social networking businesses is that we interact both, online and in person and we do it in a professional environment. The professional environment is important to what we do and it is actually how hard Noble Voice group fits into the picture. While the other groups focus more on the networking aspect of professional life, Noble Voice emphasizes career development. The Noble Voice group is currently doing about 25,000 career consultations per week. Importantly, they are learning about people and guiding them to partners who can help them where we get a referral fee. In some cases, these are the same partners who interact with the NAPW and PDN groups. If you want to think about our business like a flowchart, it makes a lot of sense. Noble Voice brings people in NAPW and PDN connect people to each other and NAPW and PDN connect people to businesses. There is a reason we call our Company Professional Diversity Network every word defines who we are and what we do. On that note, I would like to conclude by saying thank you to everyone who is listening and turn the call over to David Mecklenburger, our Chief Financial Officer
David Mecklenburger: Thank you, Star. This is David Mecklenburger. I am going to comment on a few financial highlights and then we can open up the floor for questions. In the third quarter revenue was $9.3 million. That was up 493% over the year ago quarter. We were down just a bit from Q2, but that was baked into our plan to streamline the business. It is important to understand that when we set out to combine the Professional Diversity Network, the National Association of Professional Women and Noble Voice groups, we knew that we had to rationalize both, the revenue and expense lines to reach our margin and profitability targets. Right now, we are where we need to be. As Jim said, we are hitting our stride. Our gross margin was 84% in the third quarter. It has been running 84% to 85% range since the beginning of 2015, when we began operating as a combined Company. It is well above the 73% gross margin in the comparable quarter of last year, which speaks to the fact that are combined business is greater than the sum of its parts. The high gross margin provides significant operating leverage and also bodes well for our future profitability. We spend a lot of time bringing the cost in line in with revenue and we were very close to adjusted EBITDA breakeven in the month of September. As it might not be apparent from the reported results, I would like to highlight our adjusted EBITDA. Adjusted EBITDA is a non-GAAP financial measure that we feel helps in interpreting or financial results given the size and range of some of our non-cash adjustments. Our adjusted EBITDA deficit in third quarter was just about $900,000 after adjusting for non-cash goodwill impairment charges and tax allowances. That is an improvement from $1.4 million deficit in the comparable year ago quarter, but it is slightly wider than last quarter when we realize the deficit of $1.5 million. The difference from Q2 to Q3 is primarily due to some non-recurring expenses and staffing adjustments we made in Q3. As Jim said, September was an important month and it was the first month where we realized a significant benefit from our cost reductions and we came within striking distance of breaking even on an adjusted EBITDA basis. Our internal non-audited monthly results indicate a month-over-month improvement throughout the third quarter. Our estimates place the adjusted EBITDA deficit at less than $50,000 for the month of September. This is particularly important, because as we begin to leverage this high-margin business, we will turn future revenue gains into outsized profits. Now, let us return to financial summary. As you can see, we took impairment charge during the quarter. This charge is a non-cash adjustment recorded to reflect Management's estimate of changes in enterprise value since the acquisitions we undertook in 2014. Accounting rules require us to scrutinize goodwill values at least once a year. It is both, the qualitative and quantitative test that we chose to do at the end of this quarter instead of waiting until the end of the year. This led us to the conclusion that it was appropriate to adjust the value for goodwill assets in the third quarter as I mentioned it is a non-cash adjustment. Additionally, we recorded a significant allowance against our deferred tax assets. Accounting standards and guidelines also call for us to take a methodical analytical look at our deferred tax assets. Management has determined that adherence to GAAP standards call for us to recording allowance against those deferred tax assets in the quarter. Again, please note this is a non-cash adjustment and it also no way prohibits us from using these tax benefits as they become available in the future. The adjustments are also discussed in detail in the 10-Q. Due to the impairment charge and valuation allowance our GAAP net loss was $29.7 million for the quarter. Excluding the charge allowance, the pro forma net loss would have been about $1 million or $0.07 a share. We finished the quarter with $4.6 million in cash and short-term investments and believe that we have an ample working capital to fund our operations. In conclusion, I would like to say that third quarter was all about progress. We have a lot of work to do, but the most important thing is where we exited the quarter, our run rate and our future performance. At this time, I would like to turn the call back to the operator to poll for questions. Thank you.
Operator: Thank you. At this time, we will conduct a question and answer session. [Operator Instructions] Our first question comes from Andrew D'Silva with Merriman Capital. Please proceed with your question.
Brian Murphy: Hi. It is Brian Murphy in for Andrew. Just have a few questions to relay here. First question relates to the headcount. Can you give us a sense for how much your headcount has dropped since you began the cost reduction initiatives?
Jim Kirsch: David, I can take that. On our three business lines, we have been refining headcount in order to maximize the profitability of the business and focusing on the most actively producing sales reps. The rate reduction on the recruitment side went from 24 to 20 to 16 that is Q1, Q2, Q3. Q3 being 16. In our Noble Voice business, we have adjusted that business from 343 to 260 to 214. On the NAPW side, we have gone from 121 to 117 to 89 in the third quarter.
Brian Murphy: Okay. Great. The second question relates to seasonality. Since the business combination, how should we think about that how will you know, for instance, fourth quarter seasonality be different if at all?
Jim Kirsch: Traditionally, fourth quarter seasonality as it is reflected in the three business lines flows as follows. The NAPW business is rather stable with December being slightly softer, due to the holiday period. Noble Voice traditionally is pretty much stable and PDN usually has a strongest quarter. The recruitment business is usually the strongest in the fourth quarter, so I would say slightly down at NAPW on the trending basis quarter-over-quarter for a seasonality-neutral at Noble Voice and accelerated it at the recruitment business.
Brian Murphy: Okay. Great. That is a great color. Finally, Jim you went into quite a bit of detail on your sales force enablement initiatives. I was wondering if you could characterize the state of that the sales force right now. Is this sort of and 80-20 rule over there or you have sort of a relatively small percentage of sales reps handling at disproportionate amount of the revenue or is it more evenly distributed and sort of where is that trending?
Jim Kirsch: Sure. Obviously, I think it is important to note that we could have generated more revenue with lower profitability, so if we were looking just to scale, we certainly could have done that. What we have chosen to do is, focus on those resources who are doing well and accelerating. What that has resulted in is having a team in place of high performers, most if not all of the lower performing reps are no longer with the business. While we do have fewer reps, the best reps are still with us and we are seeing more productivity per rep. Especially on the NAPW side, we are seeing an increase in rep productivity increasing in the third quarter and going into the fourth quarter.
Brian Murphy: Okay. Thanks very much.
Jim Kirsch: Thank you.
Operator: [Operator Instructions] At this time, I would like to turn the floor back over to Management for closing comments. Also, the Management Team will be available for questions after the call and/or day tomorrow.
Jim Kirsch: Thank you very much, operator. Thank you all for joining the call today. It did not seem there was a lot of questions just the one, but I want to make sure I reiterate what the operator said. We will be available for your questions as we always are, after the call today and tomorrow and throughout the week. We thank you very much for joining the call today. We look forward to your follow-up questions this week. Thanks very much. Have a good day.
Operator: Thank you. This does conclude today's teleconference. You may disconnect at this time. Have a great day.